Operator: Good afternoon. And welcome to SeaChange’s Fiscal Second Quarter 2022 Conference Call for the period ended July 31, 2021. My name is Alex, and I will be your operator this afternoon. Joining us from the company is Executive Chairman, Robert Pons; Chief Financial Officer, Michael Prinn; and Senior Vice President of Global Sales and Marketing, Chris Klimmer. After the market closed today, SeaChange issued its financial results for the fiscal second quarter in a press release, a copy of which is available in the Investors section of the company’s website at www.seachange.com. Before we begin today’s call, I would like everyone to please take note of the Safe Harbor paragraph that is included at the end of today’s press release. This paragraph emphasizes the major uncertainties and risks inherent in the forward-looking statements that management will be making today. As indicated, forward-looking statements are based on management’s current expectations and are subject to a number of risks and uncertainties that may cause actual results to differ materially from expectations. These risks and uncertainties are also outlined in the company’s SEC filings, including its annual report on Form 10-K and quarterly reports on Form 10-Q. Any forward-looking statements should be considered in light of these factors. Additionally, this call contains certain non-GAAP financial measures as that term is defined by the SEC and Regulation G. Non-GAAP financial measures should not be considered in isolation from or as a substitute for financial information presented in compliance with GAAP. Accordingly, SeaChange has provided a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures in the company’s earnings release issued today. I would like to remind everyone that this call is being recorded and will be made available for replay via a link available in the Investor Relations section of SeaChange’s website. Now I would like to turn the call over to SeaChange’s Executive Chairman, Robert Pons. Sir, please proceed.
Robert Pons: Thanks, operator, and good afternoon, everyone. Thank you for joining us today. The stabilization period for our company is over. We are now in a growth mode. As demonstrated by our second quarter results. SeaChange is well positioned to capitalize on the intersection of the explosive growth in all things ad tech, and all things streaming. SeaChange has the technology assets and deep experience to provide cable operators and streaming content owners worldwide with advanced advertising technology and a turnkey managed services streaming enablement platform. Our highly targeted advertising capabilities and turnkey streaming platform help customers worldwide. The worldwide streaming market is booming, with over 200 streaming services and counting, which is expected to grow from 70 billion this year to 160 billion by 2024, an impressive 18% compounded annual growth rate. When you layer on global digital advertising spending, the total addressable market today exceeds 500 million. As the technology that powers streaming, targeted ad technologies and video platforms globally, SeaChange is at the epicenter of this massive opportunity of the broadcast industries transition to streaming coupled with advanced advertising technologies. After Mike walks you through our Q2 financial performance, Chris will discuss in detail our newly established three product lines and how we have positioned the company to capitalize on the exploding growth of streaming and ad tech. I will then come back with some closing comments before the Q&A. Mike.
Mike Prinn: Thanks, Bob, and good afternoon, everyone. Turning to our financial results for the second quarter of fiscal 2022 compared to the first quarter of fiscal 2022. Total Revenue for fiscal Q2 2022 was 6.5 million, an increase of 29% compared to the prior quarter, and an increase of 31% compared to the same quarter last year. The sequential and year-over-year increase in total revenue was driven by a significant increase in product revenue and a slight increase in service revenue. We believe the revenue growth we delivered in Q2 marks our company's successful transition from a period of stabilization to growth mode. Product revenue for fiscal Q2 2022 increased 67% to 2.7 million, or 41% of total revenue compared to 1.6 million or 32% of total revenue in the prior quarter. Service revenue for fiscal Q2 2022 increased 12% to 3.8 million, or 59% of total revenue, compared to 3.4 million, or 68% of total revenue in the prior quarter. Revenue from our international markets in fiscal Q2 2022 was 4.7 million, or 71% of total revenue, which compares to 2.9 million, or 56% of total revenue in the prior quarter. Revenue in our U.S. market for fiscal Q2 2022 was 1.9 million, or 29% of total revenue, which compares to 2.2 million or 44% of total revenue in the prior quarter. Looking at our margins gross profit for fiscal Q2 2022 was 4.1 million, or 63% of total revenue, compared to 2.8 million, or 56% of total revenue in the prior quarter. Product gross margin for the fiscal second quarter of 2022 was 74% compared to 75% from the prior quarter. Service gross margin was 55% compared to 47% from the prior quarter. Looking at our expenses, our non-GAAP operating expenses for the fiscal second quarter of 2022 decreased 4% to 5.4 million from 5.6 million in the prior quarter. They also decreased 21% compared to the second quarter of last year. We are pleased with the significant reduction, which is a direct result of the tremendous effort put into improving operating efficiencies over the last 12 months. GAAP loss from operations for fiscal Q2 2022 totaled 2.5 million, an improvement of 1.3 million, compared to 3.8 million in the prior quarter. As a percentage of total revenue, GAAP loss from operations for the second quarter of fiscal 2022 was negative 38%, which compares to negative 75% in the prior quarter. Non-GAAP loss from operations for fiscal Q2 2022 totaled 1.3 million, or a loss of $0.03 per basic share an improvement compared to 2.8 million, or loss of $0.07 per basic share in the prior quarter. As a percentage of total revenue, non-GAAP loss from operations was negative 20% compared to negative 55% in the prior quarter. GAAP net income for fiscal Q2 2022 totaled 0.2 million, which compares to a loss of 4.1 million, or loss of $0.10 per basic share in the prior quarter, reflecting a non-recurring gain related to the forgiveness of the $2.4 million PPP loan. Non-GAAP net income for fiscal Q2 2022 totaled 1.5 million or a gain of $0.03 per fully diluted share, compared to a non-GAAP net loss of 3.1 million or a loss of $0.07 per basic share in the prior quarter. Again, we're pleased to see the results of our progress to both the top and bottom-line of our second quarter. Turning to the balance sheet, at quarter end, we had 18.9 million in cash and cash equivalents and no debt. In the second quarter, we finalized and received forgiveness for our entire $2.4 million loan we received as part of the Payroll Protection Program. Having no debt on the balance sheet and approximately 18 million in cash gives us a strong balance sheet and puts us in a good position to execute our growth strategy in the second half of the year and beyond. This completes my financial summary. For a more detailed analysis of our financial results, please refer to today's earnings release as well as our 10-Q, which we plan to file any in the week. Chris?
Chris Klimmer: Thank you, Mike, and good afternoon, everyone. Our financial momentum that Mike has just talked about reflects the traction that we're seeing on our key sales and marketing initiatives as well. We want to enhance our product portfolio, secure new streaming customers, extend our footprint as a video ad tech provider and drive predictable growth. As we talked about in our last call, our two primary goals in fiscal 2022 are to better address the needs of our existing customer base and to create a product and value proposition to capitalize on the massive opportunities in the streaming and video advertising markets. We have made tremendous progress on these key goals in a relatively short time, highlighted by the successful launch and introduction of three new product lines that enable profitable TV and streaming services for our customers. The first product is our cable video delivery platform that is specifically designed for our existing customer base of Tier-1 global cable companies like Verizon, AT&T and Cox to enable the seamless delivery of video on demand and pay TV services to households globally. SeaChange's cable video delivery platform is one of the most full featured, powerful and extensible video and merchandising management technologies for operators on the market. The platform provides customers with an out of the box turnkey, yet customizable solution that enables linear TV and VOD experiences on all platforms, from set of boxes to mobile devices. The second new product is our streaming enablement platform called StreamVid. The end to end fully managed and cloud native SAAS platform enhances every aspect of an organization's streaming business and allows operators and content owners to connect directly with the audiences. StreamVid supports the full range of business and technical functions from content ingestion and management to curation and monetization. The platform provides operators and content owners complete control over their user base during the entire lifecycle as well as delivers rich data to understand the user behavior on the service. StreamVid removes market entry barriers, since it is being offered under a true consumption based pay as you grow SAAS business model, generating recurring revenues for the company. As we understand the increasing importance of advertising business models within the streaming landscape, we put a particular focus on the integration with SeaChange's ad tech components, powered by our third key product, the advanced advertising platform. This advanced advertising platform is a unified ad tech solution for broadcast and OTT streaming. The product enables companies to protect and increase existing ad revenues and generate new sources of ad revenues as well. During the ongoing subscriber transition from linear to streaming, the SeaChange advanced advertising platform is designed to protect the subscriber experience and linear ad revenues as well. By utilizing the same ad creatives across linear and OTT, ensuring revenues remain stable, and the users have the same experience across platforms. Once the subscriber base has transitioned, it is possible to move to a more targeted individual or contextualized approach increasing ad revenues through higher CPM by ensuring each ad that is served is relevant for the user. The team behind our three product lines enjoys a rich heritage of more than 25 years of video hardware, software, and advertising technology. I can confidently say that our team of dedicated video software engineers is among the most experienced and accomplished in the industry. Our new product line has been very well received by both existing and prospective customers alike, especially streaming. In fact, since we introduced the product in July, we have launched two new procedure streaming customers Screen iL and Popcornflix. Our partnership with Screen iL powers a premium subscription-based service, which brings Israeli TV and film content to expats and consumers worldwide for a subscription fee of $20 a month. The service is the largest and only legal film library from Israel covering news, Primetime, and reality shows. As you may have seen today, we announced the partnership with Chicken Soup for the Soul Entertainment to power its new Popcornflix app, which is available on iOS, Android, Apple TV, and the web. StreamVid provides Popcornflix with an entirely new branded look and feel and an improved user experience. The advertising supported service provides consumers with free access to a wide range of content, including feature action, adventure, crime, and sports programming. The enhanced Popcornflix app also offers top quality studio films, original and exclusive content, as well as classic TV series. The integration of advanced advertising platform streamlines ad sales for Popcornflix. It leverages our relationships with supply and demand side platforms for seamless programmatic ad sales. Now with access to its own enriched viewership data, Popcornflix will be able to enjoy increased CPM while the system's built-in advanced business rules, support better targeting with smart ad campaign management. Additionally, StreamVid allows Popcornflix to launch sponsor channel and expand its footprint into international markets in the future. We are excited about our two new partnerships, which reflect two of the major trends in the streaming industry today. The rise of premium special interests subscription-based services targeted towards a precisely defined and highly loyal audience as well as the adoption of advertising based streaming services by mainstream audiences. We look forward to pushing the boundaries of technology to bring streaming services and content to people around the world. That concludes my prepared remarks. I will now turn the call back over to Bob for his closing remarks. Bob?
Robert Pons: Thanks, Chris. Before I turn to the Q&A portion of today's call, I want to point you to a new statistic that we mentioned in the earnings press release. To mention that we are reaching over 100 million subscribers. I want to calibrate that number for you. A large cable company might have say 50 million subscribers. SeaChange is essentially a B2B2C platform company. Our technology is touching over 100 million subscribers. Our revenue growth as a B2B2C platform is in sync with our customers through AVOD advertising video on demand and streaming enablement. The core concept of our customers scale as such becomes ours. The recent streaming enablement customer wins, all come with recurring revenues tied to subscriber growth. Think about that. One more thing, I want to comment on is our stock price. In my opinion, the market is just beginning to understand the intersection of advertising technologies and streaming. In my opinion, as the market understands the value of our technology, and how we are growing the company, the market will take notice of our true value. That concludes the prepared remarks. We are ready to open the call for questions. Operator?
Operator: Thank you. Before management would like to take questions. Mr. Robert Pons would like to make a few additional remarks. Robert, please go ahead.
Robert Pons: Yes, thank you in my earlier parts of my comments, when I was referring to the total addressable market, I believe I said 500 million and of course, I meant 500 billion is the size of our total addressable market. So just wanted to make that clarification. And now we can begin with our Q&A operator. Thank you.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Rommel Dionisio with Aegis Capital. Please proceed with your question.
Rommel Dionisio: Good afternoon, everyone. Thanks for taking my question. So first of all, congratulations, guys. This is really some quarter. I just want to delve into and I heard your comments, Bob, on the recurring revenue stream. And Chris, you also highlighted that as well. I just want to stress that I mean, the quarter was so strong. Was there any sort of unusual revenues that you would have seen in this one that you may not see in upcoming quarters? Whether that's just a new product launch, I think on the cable delivery side? I just I mean, it's just was such a strong solid quarter from –
Robert Pons: Yes. I think what you're seeing is, is the progress we're making. As I said, in my earlier comments, we're done with stabilizing, and we're into a growth mode. And we are doing quite a bit in terms of marketing our brand. We've changed the narrative to highlight our assets. And I think that's what you're saying. And we anticipate that continuing.
Rommel Dionisio: Great. That's phenomenal. Maybe just a financial question. You also showed a lot of progress on the expense side of things as well. I know that you've had a number of restructuring actions here over the last few months and quarters. And I just wondered, are you guys at a full sort of run rate in terms of realization of those cost savings that we saw here in the second quarter? Or is there still a little bit left to come in third quarter and beyond? Thanks.
Robert Pons: Mike?
Mike Prinn: Yes, Rommel, this is Mike Prinn. Yes, so obviously we've messaged for well over three, four quarters now the significant cost reductions that we did non-GAAP operating expenses for Q2 were 5.4 million. I would say a good chunk of what we've done for formal restructuring is now behind us when you see that 5.4 million, but I just caution you that we're everyday look at how we can be more efficient and continue to optimize. So you may see some changes, but for the most part, the quarter you're seeing now is kind of post most of the formal restructuring plans that are now behind us
Rommel Dionisio: Great. Well, congratulations again, guys. Look forward.
Robert Pons: Thank you for your support.
Operator: [Operator Instructions] Our next question comes from a line of Steven Frankel with Colliers. Please proceed with your question.
Steven Frankel: I just like to delve a little more into the increase in revenue and the decrease in backlog. So were those two tied together? And then what we saw in the quarter was some of these prior framework deals coming out of backlog and being recognized as revenue, or are we seeing StreamVid new business coming into the quarter?
Mike Prinn: Hey, Steve, it's Mike. It's a little bit of both. So there's obviously a new StreamVid business in this quarter but we definitely pulled in a little bit of backlog. I think I've mentioned this before in some of our other prior calls, during kind of the COVID quarters, especially towards the back half of the year. There were some deals we sold that, to be honest, we had revenue recognition criteria of recognized upon acceptance or upon launch. So there were a couple one offs. But that's obviously coupled with new business as well.
Steven Frankel: And then StreamVid now shows up where in the video platform line, in your –
Mike Prinn: Yes, exactly. Yes, it's in product. And I know you're talking about the tables in the last page of the press release. I think as we go forward, and we see kind of more StreamVid and framework is just kind of from prior years, we're going to think about kind of just repositioning that table.
Steven Frankel: Okay. And you have just to be clear there, two live StreamVid customers today? Are there any other StreamVid deals that you've won that has been launched? Or the excitement is around the pipeline of deals you hope to win between now and the end of the year?
Mike Prinn: Yes. I think the two for now in terms of what we're going to publicly talk about, it's the two that we've announced. And then, we obviously as we win new deals, really want to be able to share that news and continue to put out press releases upon winning or launching new deals.
Steven Frankel: And these deals are typically sold with a kind of a minimum number without sides as the sub-base grows. Is that how you are typically selling them?
Mike Prinn: Yes. Sure, go ahead.
Robert Pons: Yes. There is an upfront, absolutely, Steve. There's a cost of building out the core of it. And then there's different -- there's advertising, potential shares, there's of course growth in subscription shares. Chris, do you want to add to some of those?
Chris Klimmer: Yes. Hey, Steven. Good afternoon. So basically, it goes back to what Bob has said in his earlier remarks, right? So we tried to be a B2B2C company, meaning that we go back-to-back with the success criteria of our customers, we want to create value for our customers. And the business model we go to market with, therefore is also back-to-back with a business model of our customers. So we do have a minimum guarantee. So we're committed components. And on top of that, there's variables, for example, per subscriber variables, when it's a subscription service or per ad impression variables, when it's an [indiscernible] service. So that is the business model right now we want go to market with. And that again, that is two things for us. Number one, it generates recurring revenues and number two, it gives us an upside in case the sources are as successful as we want them to be.
Steven Frankel: Okay, great. Thank you.
Operator: [Operator Instructions] At this time, this concludes our question-and-answer session. If your question was not taken, please contact SeaChange's IR team at SEAC@gatewayir.com. I will now turn the call over back to Mr. Pons for his closing remarks.
Robert Pons: Thank you, operator, a couple of things. One, please check out our new video. It's at our website, seachange.com. It's a 90 second brand new video that we've been showing in different places. And it'll give you for those of you that are new investors to our company in 90 seconds, it'll give you a very clear, easy to understand explanation of what business we're in and the value of our business. And lastly, I would encourage you to take a look at some of the new statistics that were both on the slide presentation that's going to be posted at the website as well. And also mentioned both in our press release and in today's call. The numbers are significant. And I think it will start helping you to understand why we're so excited about the growth that we have, how we're if you will, looking to cultivate from the desk number of subscribers of our customers and work together to generate new and future revenues. Thank you very much and all stay safe.
Operator: Thank you for joining us today for SeaChange's conference call. You may disconnect your lines. Thank you.